Operator: Hello, and welcome to the Floor & Decor Fourth Quarter and Fiscal Year 2021 Conference Call and Webcast. [Operator Instructions] As a reminder, this conference is being recorded. It’s now my pleasure to turn the call over to Wayne Hood, Vice President, Investor Relations. Please go ahead.
Wayne Hood: Thank you, operator, and good afternoon, everyone. Joining me on our earnings conference call today are Tom Taylor, Chief Executive Officer; Lisa Laube, President; and Trevor Lang, Executive Vice President and Chief Financial Officer. Before we get started, I would like to remind everyone of the company’s safe harbor language. Comments made during this conference call and webcast contain forward-looking statements within the meeting of the Private Securities Litigation Reform Act of 1995 and are subject to risks and uncertainties. Any statement that refers to expectations, projections or other characterizations of future events, including financial projections or future market conditions is a forward-looking statement. The company’s actual future results could differ materially from those expressed in such forward-looking statements for any reason, including those listed in its SEC filings. Floor & Decor assumes no obligation to update any such forward-looking statements. Please also note that past performance or market information is not a guarantee of future results. During this conference call, the company will discuss non-GAAP financial measures as defined by SEC Regulation G. We believe non-GAAP disclosures enable investors to better understand our core operating performance on a comparable basis between periods. A reconciliation of each of these non-GAAP measures to the most directly comparable GAAP financial measures can be found in the earnings press release which is available on our Investor Relations website at ir.flooranddecor.com. A recorded replay of this call, together with related materials will be available on our Investor Relations website. Let me now turn the call over to Tom.
Tom Taylor: Thank you, Wayne, and thanks to everyone for joining us on our fiscal 2021 fourth quarter earnings conference call. Today’s call will discuss some of the highlights of the strong fiscal 2021 fourth quarter and 2021 full year earnings results. Trevor will review our financial performance in more detail and discuss how we are thinking about fiscal 2022. We will then open the call for your questions. Let me start by saying that we are proud to have achieved several milestones in fiscal 2021 and most important, continue to grow our market share in a challenging environment. Despite the continued challenges presented by COVID-19, widespread disruption in the global supply chain and related cost headwinds, we delivered record fiscal 2021 sales and earnings results. On a 13-week to 13-week basis, our fiscal 2021 adjusted fourth quarter earnings increased 7.3% to $0.44 from $0.41 last year. On a 2-year compound annual growth rate basis, our adjusted earnings per share increased 30.1% from 2019. We are happy that our strong results enabled record incentive payouts through our bonus and achieve programs in 2021. Additionally, we raised our minimum starting wage to $15 per hour effective January 1, 2022, placing us in the first quintile of retailers. Over the past 6 months, we have increased our average store wage by 5% to over $17 per hour from approximately $16 per hour in July 2021. We believe this will help improve retention and associate turnover. Our fiscal 2021 fourth quarter total sales increased 26.4% to $914.3 million from last year, exceeding expectations. Adjusting to remove the extra week last year, our fourth quarter 13-week to 13-week total sales increased 34.1%. Our full year fiscal 2021 total sales increased 41.5% to a record $3.4 billion, which is more than double our fiscal 2018 sales, despite having to moderate our new store openings in 2020 due to COVID-19 pandemic. On a 52-week to 52-week basis, our full year 2021 total sales increased 44%. Our fiscal 2021 fourth quarter comparable store sales increased 14% on top of a strong 21.6% growth last year. Comparable store sales increased 17.2% on a 2-year compound annual growth rate basis from 2019, the highest 2-year quarterly growth rate in fiscal 2021. Our full year 2021 comparable store sales increased 27.6% and 15.4% on a 2-year compound annual basis, culminating in 13 years of growth in our comparable store sales. Let me turn my comments to our new store openings. During the fourth quarter of fiscal 2021, we opened 7 new warehouse format stores compared with 5 new stores during the same period last year. We opened 4 stores in October and 3 stores in November. For the 2021 fiscal year, we opened 27 new warehouse format stores, representing 20.3% growth from fiscal 2020. We ended 2021 operating 160 warehouse format stores and 2 design studios in 33 states, further extending our store footprint and brand awareness. We plan to open 32 new warehouse format stores in fiscal 2022 and expect about 56% of the store openings to be in existing markets and 44% in new markets. Among the 32 new warehouse store openings, we expect 7 will be owned. We are taking advantage of our strong balance sheet and cash flow by intentionally shifting some of our new store development to owned locations from leased projects. We have seen a good return on this additional investment. The shift increases our control of new store projects, significantly increases our store level EBITDA by lowering rent and occupancy expense and improves our store opening cadence. We intend to open 6 new warehouse stores in the first quarter of fiscal 2022, including a new warehouse store in Garden City, New York expected in March. We are excited about continuing to build our store footprint in the Northeast. And this opening will bring us to 4 warehouse stores that we operate on Long Island, New York. We expect a balanced opening cadence of about 50% of our new warehouse stores opening in the first half and second half of fiscal 2022. We intend to open 4 design studios, including 3 in the first quarter of fiscal 2022; 1 in Miami, Florida; 1 in Vienna, Virginia at Tysons Corner; and 1 in Houston, Texas. The design studios are small-format stores strategically located in densely populated, higher-income metropolitan markets that we would not be able to operate a large warehouse store economically. As we look beyond 2022, we are excited to announce that we have expanded our new store opportunity in the United States. We now believe we have a path to operating at least 500 warehouse format stores over the next 8 to 10 years compared with our prior market expectations of operating at, at least 400 warehouse format stores. The performance of our new stores opened over the past 3 years, coupled with the strong performance from our more seasoned stores and our market refresh information reinforce our conviction in our new store opportunity. We intend to get into more details at our upcoming Analyst Day on March 16, the webcast details of which will be available on our Investor Relations page. Let me now discuss in more detail our comparable store sales. Monthly, our comparable store sales increased 16.2% in October, 10.9% in November and 14.8% in December, culminating in a 14% growth in the fourth quarter of 2021. Thanksgiving week, a lower volume week for us, moved into November from December last year, which is the main difference in November and December comparable store sales. We are pleased with our fourth quarter sales exit rate and the start to the first quarter of fiscal 2022, where our January comparable store sales increased 11.5% and are up to 23.9% month-to-date in February. Our fourth quarter comparable store sales growth was driven by a 14.8% increase in average ticket, which is primarily being driven by higher average retail per square foot. We also saw a slight increase in square foot comp per ticket. The increase in average ticket is mainly due to continued strong sales in laminate and vinyl, ongoing customer preferences towards our better and best price points across all departments and, to a lesser extent, retail price increase to mitigate cost increases. Additionally, our average ticket benefited from an increase in the sales contribution from our designer-led initiatives, a higher sales penetration in e-commerce and a higher Pro sales penetration rate, all of which have an average ticket above the company average. While fourth quarter transactions declined 0.7% from the same period last year, they increased 10% on a compounded annual basis from 2019, which is slightly above the 9.8% growth in the third quarter of 2021. The 2-year compound annual growth rate in transactions of 10% and modest year-over-year growth in our square footage sold per comp store transaction reinforces our belief that we continue to gain market share. At this juncture, we are pleased that the modest price increases that we have taken to cover the rising costs are having an inelastic impact on demand. Let me now turn my comments to how we are navigating the constraints in the global supply chain. Our supply chain teams continue to work aggressively to secure international ocean carrier capacity to meet our strong demand. To do so, we have added significantly more capacity to our ocean and North American logistics, particularly from Asia, Europe and Brazil. Consequently, our in-stocks continue to trend in the right direction, supporting our strong sales growth. We believe this strategy, combined with our broad assortments, enables us to offer our homeowners and Pros alternative products where some out of stocks have occurred elsewhere. However, we face intermediate-term cost headwinds in pursuing this strategy, particularly from elevated ocean container costs as well as demurrage and detention costs, particularly in the Los Angeles port. In the fourth quarter of 2021, our ocean freight costs, which represent our highest supply chain cost, more than doubled from 2020. Given the ocean capacity constraints that are driving higher container rates and demurrage and detention cost, we are planning on higher ocean freight costs throughout 2022. As a reminder, we didn’t see material increases in supply chain costs until the final 4 months of fiscal 2021. As we study the market and our competition, we believe our holistic value proposition is the best it has ever been. Simply said, we don’t believe anyone offers the breadth of in-stock product, visual inspiration, compelling assortment or services we offer and certainly not at our prices. Because of this, we will continue to judiciously raise retails throughout 2022 in this heightened inflationary environment. And we plan to grow our gross margin rate throughout 2022 relative to the 38.8% we achieved in the fourth quarter of fiscal 2021 with the goal of exiting the fourth quarter of 2022, with the gross margin rate approaching approximately 41%. While none of us knows the future, it seems reasonable that the global and U.S. supply chain issues will abate at some point in the future. And if this occurs in late 2022 or early 2023, we see a path for gross margin rate to continue to grow as we move into 2023 and 2024. Our third strategic pillar of growth is expanding our connected customer experience. On the 13-week to 13-week basis, our fourth quarter e-commerce sales increased 45.1% from last year and 61.7% when measured on a 2-year compound annual growth rate basis from fiscal 2019. As a result, our fourth quarter e-commerce sales penetration rate increased 190 basis points to 16.4% from 14.5% last year. For the year, our e-commerce sales increased 30.2% year-over-year and on a 52-week to 52-week basis and accounted for 16.1% of our sales compared with 17.4% in 2020 and 9.4% in 2019. These results exceeded our expectations and validated that we are making the correct investments in our connected customer capabilities. We continue to enhance our web experience focusing on content and conversions. That said, our stores remain integral to our connected customer strategy. For example, about 79% of web sales and 88% of web orders were picked up in the stores in the fourth quarter. Our fourth pillar of growth rest on the investments we are making in our Pro and commercial customers to grow our market share. We are pleased that our strategies to grow our Pro wallet share, particularly among our top Pros are working. For the full year, our Pro sales increased 44.1% from last year, exceeding $1 billion, a milestone in the company’s history. Our Pro sales continue to grow at a faster pace than our homeowner sales. We are pleased that our top Pros are shopping more often and spending more with us to build lifetime value. The average spend of our top 10% of Pros was 24% higher compared to the top 10% Pros in 2020, validating the strength of our growing brand equity. Indeed, our brand tracker data shows that our brand equity with Pros improved in 2021 from 2020. We see that Pros increasingly shop with us as their spend increases due to our large in-stock selection of high-quality, low-cost, trend-right flooring products, website and Pro Premier app, which increasingly resonates with Pros. Importantly, we believe our in-stock job lock quantities are a clear competitive advantage during the current disruptions in the global supply chain. We are pleased that enrollment in our Pro Premier Rewards program, or PPR, increased 56% in 2021 from 2020. PPR sign-ups are positively correlated with store performance. In 2021, PPR Pros spent 3x as much as non-PPR Pros and shop with us 2.6x as frequently. Points redeemed, a measure of the program’s value, increased 63% in 2021. Turning to sales growth from our commercial regional account managers or RAMs and Spartan Surfaces. We are happy that the 2021 sales from RAMs increased 61% from 2020. Let me turn my comments to Spartan Surfaces. We are focused on successfully integrating critical functional areas and understanding Spartan’s needs to prepare the company for accelerating growth in 2022 and beyond. We are pleased to say that the integration has been going exceptionally well, contributing to management’s meeting 100% of their earn-out performance metrics and related payout associated with 2021. As we look to 2022, Spartan is expected to begin to leverage opportunities with our supply chain management, Floor & Decor products and organic and inorganic sales reps and additions. Over time, we expect commercial sales to become a material part of our growth as we leverage our core strengths in merchandising, direct sourcing and Spartan’s commercial sales rep. Let me now discuss our progress with our design services, the fifth pillar of our growth. As we have discussed in the past, we are focused on building a consistent, high touch, best-in-class and seamless designer service experience for our homeowners and Pro customers in our stores. To that end, we are enhancing key productivity metrics, adding new technology to improve the customer experience and refining our design, organizational reporting structure. We believe the new organizational structure enhances our ability to grow this business and attract and retain high-caliber designers by providing them with career -- clear career path opportunities. Collectively, we are pleased that our focus on design services led to a 78% increase in design appointments in 2021. Notably, our 2021 annual design sales penetration rate increased 440 basis points. As a reminder, the gross margin and average ticket is higher than the company average when a designer is involved. We are excited to build on these investments in 2022 and grow the awareness and familiarity with our design services. We are also pleased with our design -- our Dallas Design Studio, where the pro forma metrics are slightly ahead of expectations. We look forward to walking through our Miami Design Studio and Doral Warehouse store with analysts attending our March 16 Analyst Meeting in Miami, Florida. Before turning the call over to Trevor, I want to thank all of our Floor & Decor associates for their collective hard work every day in our stores, distribution centers and store support center to serve our customers. I want to particularly thank our merchandising and supply chain teams that continue to work tirelessly to ensure we have inventory sourcing flexibilities to meet the strong demand despite ongoing disruption in the global supply chain. Collectively, we have yet again proved to be a company that is agile, resilient and resourceful. I’ll now turn the call over to Trevor to discuss our fiscal 2021 fourth quarter and full year 2021 earnings results in more detail.
Trevor Lang: Thank you. As Tom mentioned, we are proud to have achieved several milestones in fiscal 2021, despite the continuing challenges presented by COVID-19, widespread disruptions in the global supply chain and related cost headwinds. Additionally, like many companies, we have been managing our business through ongoing tight labor market. Still, we have proven to be a company that manages through these disruptions by being agile and resourceful at meeting our customers’ high demand in this environment as evidenced by our strong sales momentum that has continued into fiscal 2022. To meet the increased demand and continue to grow our market share, we are intensely focused on improving our stores in-stock merchandise assortments. While our sales continue to reflect strong demand, some challenges remain in the supply chain costs, particularly in demurrage and detention costs that arise primarily from port congestion. These costs remain somewhat unpredictable, particularly at the Los Angeles port and reduced our fiscal 2021 fourth quarter earnings by about $0.05 per share compared with the expectations we shared with you on our last call. Said another way, excluding these unexpected costs that were over and above our forecast, our fourth quarter adjusted earnings per share would have been an estimated $0.49 versus the reported adjusted earnings per share of $0.44. For these reasons, we have provided a wider range of fiscal 2022 earnings guidance to account for this near-term unpredictability and higher overall supply chain costs. We expect our earnings guidance range to narrow as we move throughout fiscal 2022. Let me now turn my comments to some of the changes among the significant line items in our fiscal 2021 fourth quarter income statement, balance sheet and statement of cash flows, and then I will further discuss our thinking about fiscal 2022. As a reminder, our fiscal 2020 year, which ended December 31, 2020, was a 53-week period. The extra week added an estimated $0.06 to our diluted earnings per share in fiscal 2020. More details pertaining to the impact of this extra week in fiscal 2020 can be found in today’s press release. Turning to gross margin. Our fiscal 2021 fourth quarter gross margin rate contracted to 38.8% from 42.5% in fiscal 2020, which was below our expected range of 39% to 40%. The larger-than-expected decline was due to higher-than-expected demurrage and detention costs that accelerated at the end of the fourth quarter reducing our gross margin rate by about 70 basis points compared to the internal expectations of our gross margin. The timing of these expenses prevented us from raising retails fast enough to offset these charges. Demurrage fees are assessed on containers that sit inside the ports and transit to our facilities and detention fees are assessed when containers are not returned to the port timely, which in many cases are outside of our control due to extreme port congestion, primarily in Los Angeles. We are managing these costs and planning fiscal 2022 price increases based on the current environment. Turning to our fiscal 2021 fourth quarter expenses. Our fourth quarter selling, and store operating expenses increased 23.4% to $235.7 million from $191.1 million last year. As a percentage of sales, we leveraged these expenses by approximately 60 basis points, primarily from our strong sales growth. Additionally, as a reminder, we paid $2.5 million in spot bonuses to our store associates and reimbursed store support center associates for salary reductions they took during COVID-19 pandemic in 2020 that led to some modest year-over-year incentive compensation leverage in 2021. On a 13-week to 13-week basis, our selling and store operating expenses increased 28.4% and leveraged approximately 110 basis points when removing the additional week of sales in 2020. Our fiscal 2021 fourth quarter GAAP net income decreased 12.7% to $49.9 million and $57.1 million in the same period last year. Our GAAP diluted earnings per share decreased 14.8% to $0.46 from $0.54 in the same period last year. Our fiscal 2021 fourth quarter non-GAAP adjusted net income decreased 6.1% to $47.1 million from $50.2 million in the same period last year. Our fiscal 2021 fourth quarter non-GAAP adjusted diluted earnings per share was $0.44, down 6.4% from the $0.47 in the fourth quarter of fiscal 2020. Excluding the additional week of sales and estimated profit due to the 53rd week in the fourth quarter of 2020, our adjusted EPS grew 7.3% and on a 2-year CAGR basis, our fourth quarter 2021 adjusted EPS grew 30.1%. A complete reconciliation of our GAAP and non-GAAP earnings can be found in today’s earnings press release. Moving on to our balance sheet and cash flow. At the end of December 30, 2021, our net inventory increased 54% from the same period last year to approximately $1 billion. The increase in inventory was in line with our expectations of $900 million to $1 billion that we provided in our third quarter fiscal 2021 earnings call. As a reminder, these expected increases in inventory was driven primarily by 2 strategic investments: first, investments made to improve our in-stock inventory in key SKUs; and second, bringing in a portion of the Chinese New Year inventory a couple of months early to try to mitigate the international container capacity issues. We made the strategic decision to build up our inventory levels heading into 2022, and we are glad we made these investments given the strong demand environment. Our fiscal 2021 cash flow from operations was $301.3 million, down $104.8 million from the same period last year, primarily due to our inventory investments. Turning to our capital expenditures. For fiscal 2021, our capital expenditures totaled $475.3 million, including capital expenditures accrued at the end of the period. Our fiscal 2021 capital spending was funded by cash flow generated from operations and existing cash on hand. Let me turn my comments to how we’re thinking about the macroeconomic environment and fiscal 2022. From a macroeconomic perspective, we are planning on 2022 to be a good year. The secular demand in housing continues to exceed available supply, which has led to an acceleration in home price appreciation. We believe these factors, combined with record levels of homeowner equity and aging housing stock should further support home remodeling spending. In addition, we serve a higher-income consumer, and they have substantially higher wealth and home equity relative to pre-pandemic levels and there continues to be innovation in our category. With that said, we are monitoring factors such as today’s Russian invasion of Ukraine and other geopolitical events, rising interest in mortgage rates, modest decline in existing home sales, inflationary pressures impacting the consumer and uncertainties related to the pandemic. Let me discuss the details of our ‘22 outlook. Our assumptions are based on opening 32 new warehouse stores, 4 new design studios and a continued favorable macroeconomic backdrop that I just outlined. However, we cannot currently estimate any impacts Russia’s invasion of Ukraine may have on our business. We are planning for higher supply chain and vendor product costs throughout 2022. Additionally, in order to lock in international container capacity to support our growth for the second half of 2022, we are planning on international container costs to continue to grow throughout 2022. As Tom mentioned, it is our intention to pass along these cost increases and grow our gross margin rate throughout 2022 relative to the fourth quarter of 2021 when our gross margin rate was 38.8%. We expect our net sales for fiscal 2022 to be in the range of $4.285 billion to $4.375 billion, an increase of 25% to 27%. We are planning on our comparable store sales growth of 10.5% to 13% driven by our business model, a good macroeconomic backdrop and raising retail prices throughout 2022 to offset the anticipated higher supply chain and vendor product costs, which is remarkable considering the [average] comp growth we had in fiscal 2021 as well as the second half of 2020. Moving on to how we’re thinking about gross margins, expenses and adjusted EBITDA. Gross margin in the first quarter of 2022 is expected to be in the mid-39% range. Our full year fiscal 2022 gross margin is expected to be around 39.5% to slightly above 40%. We are planning on our fourth quarter 2022 gross margin approaching 41% with expected sequential improvement in each quarter from mid-39% in the first quarter. While the complexion of our P&L will change in 2022, we believe these are not structural changes. We are actively taking measures to combat and counter rising costs by implementing price adjustments, prudently contracting our fixed and spot market capacity with ocean carriers and continually shifting our sourcing to regions where we can reduce costs. On the expense side, we, like many other retailers are facing wage pressure. Our average hourly wage rate is now over $17 an hour, and we are proud to be a retailer with a $15 an hour minimum starting wage. We will continue to invest in our people and retain and attract our best talent, and we are glad to see our fourth quarter 2021 turnover decrease as we make these important investments. As a result, selling and store operating expenses are expected to be slightly above 24% for 2022, but below the 24.7% in fiscal 2021. We believe these are good long-term investments in our people that will continue to yield a return. Preopening expenses are planned to be around 0.8% of sales, leveraging slightly from the 1% in fiscal 2021. We are planning on general and administrative expenses slightly above 5% leveraging from fiscal 2021. We expect our adjusted EBITDA to grow 19% to 26% in fiscal 2022 to approximately $575 million to $610 million. Our adjusted EBITDA margin rate is expected to be 13.4% to 14%. Importantly, we continue to see a path towards our expected medium-term margin rate of mid-teens and longer-term adjusted EBITDA margin in the high teens. Fiscal 2022 diluted earnings per share expected to be in the range of $2.75 to $3 with a midpoint of $2.88. Diluted weighted-average shares outstanding is estimated to be approximately 108,400,000. Moving on to how we’re thinking about capital expenditures. As we look at fiscal 2022, our total capital expenditures are planned to be between approximately $550 million to $590 million and are expected to be funded primarily by cash flow generated from operations and cash on hand. More specifically, we intend to make the following capital expenditures in 2022. We intend to open 32 warehouse format stores, 4 small-format design studios and start construction on store opening in -- stores that are going to open in fiscal 2023. Collectively, these investments are expected to require $405 million to $430 million of cash in fiscal 2022. Most of the year-over-year increase reflects an acceleration in store openings to 32 new warehouse stores compared with 27 warehouse stores opened in the last year, and the strategic decision to shift more towards owned locations from leased projects for the reasons Tom mentioned earlier. We plan to invest in these existing store remodeling and expansion projects and distribution centers using approximately $100 million to $110 million in cash. Finally, we plan to continue to invest in information technology infrastructure, e-commerce and other store support center initiatives using approximately $45 million to $50 million of cash. In closing, I would like to say that our entire leadership team is very proud of how we performed in 2021, and we remain encouraged by the momentum that has continued into fiscal 2022. The strength of our business model is more evident now than ever given the complex supply chain and inflationary environment we are operating in, and we believe we are in a unique position to continue to gain market share. Our entire executive team would like to personally thank all of our associates and our vendor partners for the great work they do every day to serve our customers. On March 16, we will be hosting the company’s first analyst conference in Miami, Florida where we look forward to providing an update on the long-term strategy and financial outlook. The event will be webcast for those who can’t join us. You can reach out to our Investor Relations team if you have any questions. Operator, I now think we’ll turn it over to questions.
Operator: [Operator Instructions] Our first question is coming from Michael Lasser from UBS.
Michael Lasser: My first question is on price increases. How much price did you take in the fourth quarter? What did you see from others within the industry? And how much price do you expect to take over the next few quarters to recoup the gross margin pressure that you experienced in the fourth quarter?
Tom Taylor: I’ll start, Michael, that was more than 1 question.
Michael Lasser: Yes, it’s a long one.
Tom Taylor: Yes, it’s a long question, lots of comments. So yes, we took modest price increases in the fourth quarter to cover supply chain costs, like we said, that we were going to do. In the marketplace, we’re seeing everyone’s taking price, prices moving more than I’ve seen price move since I’ve been here. Catalina just came out with a report that said hard surface flooring square footage pricing was up over 8% in the fourth quarter. Our price increases were nowhere near that. When we took price increases, we didn’t see really much change as evidenced in our business in the fourth quarter, evidenced in our business into the first quarter. We look at it and, like I said, we’ll be judicious in raising prices. We’re not going to give the amount of price that we’re going to increase. That’s kind of -- we’re going to keep that close to the vest, but we’ll certainly be thoughtful. Nothing’s changed in our value -- the way we approach value and want to be the low price leader. Nothing’s changed. We think of it as, in terms of prices, just 1 element of the decision making, right? So we know our spread has been good and it will continue to be good. But we’ve offered so much to the experience, and no one really does what we do between Pro services, design services, inspiration, broadest in-stock assortment across micro merchandise meeting go on and on. No one really does what we do. And we don’t hear much from the customer about our pricing. We hear like it’s really good. Like we don’t -- when we find out if we’ve got a change of price because of competitive reasons, because an associates saw it somewhere more so than it is, because the customer brings it to our attention. So we’re -- we feel good about our ability to price the way we need to.
Trevor Lang: Michael, I’m not going to add much to that. Only to say just to put some real numbers to it. If you look at our 2-year transaction comp, it was 10% in Q3 and it was also 10% in Q4. So when you look at it on that basis, to Tom’s comment, to date, we haven’t seen any elasticity so far or inelasticity. And I think when you look at what we’re seeing, as Tom said, in the competitive front, others are taking up prices more than us.
Michael Lasser: So my follow-up question is if the industry is taking up prices by an average of 8% and Floor & Decor is not near that level, that would mean that price gaps have widened. And as you just outlined, there’s a host of other compelling factors that would make someone want to shop at Floor & Decor. So how against all that where price gaps have widened, you’re incurring significant gross margin pressure. And against those factors, how do you get back to gross margin levels that you had experienced previously. And can you get back to a gross margin that you had experienced in 2020 in the 42 -- high 42% range?
Tom Taylor: We think over the long term, yes, right? So it’s -- we’re going to start that journey this year. And some of it’s going to come from price this year. But it’s more than just price, right? I mean what’s happening in our business, too, is the gravitation towards better and best products, which run at a higher margin rate, that also helps margin. Our efforts around design services, when we get the designers involved in sales, we tend to get a higher margin from a designer sale. The work that we’ve done in the supply house side of our business on installation accessories has been incredible. So our ability to sell the whole basket, which has a better blended margin. All of those things will help. And if you think, and as I said in my prepared comments, if you look out and you think that the supply chain cost will get better as we get to the end of this year, or maybe into 2023, that also will help in gross margin rate over time. So we’ll start getting back to where we were this year, and we’ll finish getting back to where we were over the years after that.
Trevor Lang: Yes. And I think the reason we specifically called out demurrage and detention, most people didn’t even know what those things were until the third or fourth quarter. Those are millions of dollars of cost that we and many others are taking on because things are getting stuck in the port where we don’t have control to get them out or return the containers, that’s going to fix itself at some point. I can’t say when, but I think those are kind of costs that are happening now and in early 2022 that I think most people think as you get to the end of the year and hopefully into next year that those costs go away. As those costs go away, our margin rate goes up nicely.
Operator: Our next question is coming from Chuck Grom from Gordon Haskett.
John Parke: This is John Parke on for Chuck. I guess can you guys isolate the benefit in FY ‘21 from Spartan? And I guess kind of how is that impacting your sales growth outlook for FY ‘22?
Trevor Lang: Still it’s pretty small. I mean we disclosed a little bit of this in our 10-K. I think it’s less than 2% or 3% of our sales today. The acquisition was all about the long term. They are a great company, and they are executing well. They really own that A and B part of the commercial business that might have been a little bit harder for us to get. And the first year was really about, let’s get them integrated, let’s build the relationship, let’s start exposing them to our inventory so they can eventually start selling our inventory, let’s help them grow their sales reps. And so that’s exactly what we’re doing. So it won’t be a material part of our growth in ‘22. But I think as we look into ‘23 and ‘24, we think both that business as well as our RAM business is going to get a lot bigger. And we’ll talk a little bit about this in our March meeting, where we’re going to do a little bit more deeper dive on what we think the next 3 years look like. I mean that’s a big industry. It’s 60% the size of the residential remodel industry. We’re having a lot of success in commercial, both on the RAM side and the Spartan side. And could we someday have 300, 400, 500 reps doing $3 million, $4 million more piece? I mean that’s what the goal is long term.
Tom Taylor: All of the advantages that we carry in the box that serves the repair remodel customer and the flooring experts. It exists in the commercial space. Our supply chain advantages, the broad in-stocks, the deep inventory levels that we carry, all of those advantage exists in the commercial space. So we think it’s a big opportunity, and it will be meaningful over time.
Operator: Next question is coming from Simeon Gutman from Morgan Stanley.
Simeon Gutman: So going back to the pricing question, gross margin. I guess, this year, you guided initially it was last year, you talked about managing the gross profit dollars, and that’s all clear in your guidance. Is there any reason why you don’t want to manage more quickly to rate and take pricing up? And you even said there’s pricing gap -- there’s price gaps. And if you’re not seeing the elasticity, why can’t this process maybe be quicker than you think?
Tom Taylor: Yes. I mean we are accelerating from what we talked about in the fourth quarter, right? So we are going to be a little bit more aggressive in it. But we want to be thoughtful. As I said in the fourth quarter call, a lot of the independents that we compete with are still having a hard time accessing inventory, and we want to make sure that our prices are sharp so that we continue to take market share at an accelerated pace, and we think we are. So we’re going to be thoughtful across every line in the category and take price as we see fit. So it is taking a step up from what we thought in the fourth quarter.
Simeon Gutman: And then maybe a follow-up. Can you share what product costs maybe rise like the percentage of product costs are rising by and any quantification on how much your distribution costs or freight costs have risen by?
Lisa Laube: I don’t think we’re sharing the exact number on that, but I would say that the supply chain costs are the vast majority. The vendor product cost increases that we’ve seen so far have been pretty small.
Operator: [Operator Instructions] Our next question is coming from Karen Short from Barclays.
Karen Short: Just on the unit growth, wondering what you could point to in terms of how and what you changed within your I guess, analytics on expanding or increasing the number of unit potential? And then I have 1 follow-up.
Trevor Lang: Karen, this is Trevor. Good question. We’re obviously very excited to take the store count up. A lot has changed since we went public 5 years ago. We’ve got a fantastic real estate team. We’ve got some really good advisers to help them. I’d call out just a handful of things. First of all, the market continues to grow, right? Hard surface flooring continues to grow. It’s growing at a very good clip. Also hard surface flooring is taking a bigger share than soft surface flooring, which is giving us a bigger opportunity. We’re selling more things. We have adjacent categories. We’re selling broader categories within adjacent flooring. We’ve got a bunch of markets now where we’ve got 8, 9, 10. I think in 1 market, we’ve got 11 stores. And some of those stores are close to each other and not only the new stores doing fantastic and our comps in those new stores are doing fantastic, our old stores are doing fantastic. And then finally, I think just because the profitability of the model has gotten so much better over the last 5 years, we can just substantiate stores in smaller markets. And so we’ve got, I don’t know, 10 or 20 stores that are in some of these smaller markets that are performing really well for us. So we do a very detailed look across all 330 million Americans, all the top 130 or 140 MSAs, and we look at all the demographic and psychographic profiles that produce a successful customer in a store and we run that through our algorithms and our advisers, and it actually gives us the list of where those 500 stores are going to be. So just a lot has changed since we have that original 400-store target 5 years ago.
Tom Taylor: And I’d add too, Trevor. We’re going to talk more about it at the analyst meeting in Florida. So hopefully, that folks will attend, so we’ll get to provide even more color on it. But I would -- one thing I would add too is as Trevor mentioned, we’ve got markets with 11 stores. I’ve said from -- for the last couple of years that we really needed to fill out some more densely populated markets to understand kind of how close the stores can be and how many stores we can have in a tight bound and we’re starting to learn more as our base is over 160 stores now.
Operator: Our next question is coming from Greg Melich from Evercore ISI.
Greg Melich: If you look at your comp guide for the year, could you help us a little bit in terms of how you see that average ticket growth of 14% flowing in, if you will, that anniversaries, you’re chasing price a bit. So it just seems to me that if your average ticket was up 14% or more in the fourth quarter, what would be the split of average ticket and, I guess, transaction growth through the year?
Trevor Lang: Yes. What’s interesting when you look at our transaction being down 0.7% in the fourth quarter, when you actually look at our square foot per transaction, it’s actually up over 2%. And I think a couple of things are driving that. One, our Pro business is incredibly strong relative to our homeowners business. The homeowner business is doing well, but the Pro business is doing bigger. The Pro ticket is almost 2.5x larger than the homeowner ticket. So that’s putting more square foot on every single ticket. And so I think we’re becoming more efficient for ticket. The other thing that’s really driving our ticket is the consumers are voting with their checkbook and they’re putting more better and best. And that drives our ticket. And our laminate category is also a pretty large square footage. So to summarize that down to the answer you’re asking, I mean, I think it’s possible that our transactions are kind of like the -- they have been in the low single-digit negatives. But I don’t see anything that changes with the Pro, with what we’re doing with design, with the consumer still picking the categories that they’re picking that would keep that ticket elevated. So said simply, I think most of that comp that we’re going to have for the rest of the year is going to be driven by ticket.
Operator: Your next question is coming from Steven Forbes from Guggenheim.
Steven Forbes: Tom, I want to focus on the Pros, my question, 2 part one. In prior periods, you mentioned percentage of Pro sales from Pro Premier members. So can you comment on that on how that ratio finished for 2021? And then as we think about Pro growth for 2022, any color directionally on the anticipated rate of growth within that customer group?
Trevor Lang: Yes. I think 80% of our active Pros, defined as Pros that have shopped with us in the last year, I think almost 80% of them are in some form or shape involved with our PPR programs. Most of our Pros are engaged in it. As I think Tom mentioned, the ticket when they -- for those people that are in the program, I think the ticket is 3x as high. We get better scores from those Pros as well. I think when you look at how strong the Pro business is and we think about the future, we’ve obviously listened to some of our competitors’ calls, the environment is really good for the Pro. They’ve got as much work as they want. I saw a stat from one of the big banks today that there’s something like $6.5 trillion more value in people’s homes than there was back in 2019. And so there’s plenty of dry powder. We serve a high-end home customer. They’ve also got record levels of cash and equity portfolio. So they’re going to want to do things to those homes. Those people are generally going to want to use Pros to put those things in. And so I think we’re set up well. And then you add to it again, just where we are from an assortment perspective and inventory level perspective, those things are important to Pros. And we can give them something unique, they can’t find it somewhere else. We’ve got it in-stock. A lot of our competitors do not. And so all of those things tend to lead us to the belief that our Pro business will continue to be strong for the foreseeable future.
Operator: Our next question is coming from Jonathan Matuszewski from Jefferies.
Jonathan Matuszewski: Mine was on design services. It sounds like you’re making a lot of progress there. Penetration is up. Can you remind us the percentage of transactions that utilize design services? Is that more than half, less than half? And relatedly, what percentage of your customers just simply don’t have awareness that these services are available? It feels like that latter group could be better low-hanging fruit.
Lisa Laube: This is Lisa. So that’s not a number that we’ve given out. It is I will tell you well less than half. So there is a lot of opportunity. I don’t think we know the number or the awareness for our design services. But anecdotally, I would tell you, it’s pretty darn low. We often get customers that are in the store, and that’s the firs they knew that we have free design services. So our goal over time is for design services to become a real competitive differentiator, and that’s the reason or one of the reasons they come to shop is not a service that they find about once, they get to the store for all the other reasons that they choose to shop with. So we believe there is a very, very long runway on design services for us. The other thing to just point out, as Trevor I think mentioned earlier, it’s a much higher average ticket, much higher conversion, much higher margin and the average customer service scores are very high as well. So there’s a lot of reasons that this is a big initiative for us.
Tom Taylor: Yes. I mean, I’ve said it before, we’ve had the merchandising side of the design center has been good for a long time, and the operating side is getting better and better. We’re taking the same approach that we took with Pro years ago where we put people in charge of it, they start building a program around it. We start getting consistent service from store to store, develop career paths for our designers, give them the right tools and we just made a ton of progress. So that services -- and our best customer service ratings are from customers who use the service. So we think it’s a big opportunity.
Operator: Your next question is coming from Zach Fadem from Wells Fargo.
Unidentified Analyst: This is Eric on Zach. Your EBITDA being strong fiscal ‘21 comp, the outlook for ‘22 is still goes above your long-term algo the mid-to-high single digits. Just curious if you can talk about the building blocks to getting to the 10%, 13% comp outlook, sort of how much is your market growth versus share gains, new store, waterfall, et cetera? Sort of how long do you think you can stay above the long-term algo going forward?
Trevor Lang: Yes. I mean, I’ll start by saying, I don’t think my crystal ball is better than anybody else’s, but we are in an environment where we’re dealing with cost increases, primarily in the supply chain, but also, we’re expecting some vendor product cost increases. We’re planning on passing on those cost increases and as Tom mentioned, actually growing at gross margin on top of that. And so I think -- as I mentioned earlier, I think most of our comps is going to be coming on the back of ticket because we still have more retail increases to put into the system based on the cost increases that we’re anticipating. So I think as long as we’re in this inflationary environment, the ticket is going to continue to be elevated, and that’s going to give us a confidence above our long-term algorithm. Again, I don’t know the future, but let’s all be hopeful that some of these supply chain issues do abate as we get to the end of ‘22 and into ‘23, those costs go away, then we likely would then lower our retails because we don’t need to keep the retails at that level. We’d like to keep a good distance between our competition. And then you could see the same-store sales decelerating some, but at that time, the gross margin rate goes back up nicely, and you still get to our profit growth. I mean I don’t want to take too much from what we’re doing in a couple of weeks in March, but our view is still that over the long term, we can grow our profit 25% on a 3-year CAGR basis. And just the complexion of the P&L is going to change this year, higher inflation, therefore, higher top line. If inflation goes back down, then you can see the top line being lower and then the gross margin rate being higher, and you still get to a very good profit growth.
Operator: Next question is coming from Christopher Horvers from JP Morgan.
Christian Carlino: It’s Christian on for Chris. Understanding that mix and ticket -- or mix and volumes are driving ticket, can you just give some color on how you’re thinking about comp cadence through the year and how inflation factors into that? Given the supply chain product costs will be increasing through the year, do you expect to take price again in the second half of the year?
Trevor Lang: I mean our current expectation is we have a weighted-average cost system. And so our inventory turns are just over 2x a year. So as we expect to see those costs, as I mentioned in my prepared comments, grow throughout the year, that we would expect our cost to increase throughout the year and that we would grow our retails throughout the year as well. We are obviously going up against -- going on 3 years as we get to the end of the year, incredibly high comps. We comped on average over 20% at the back half of 2020. We just posted a 27.6% comp for this year. And so when you look at the back half of the year, the comp is -- we’re up against bigger numbers. So our current expectation is we’ll be in the -- it’s not going to be all that different by quarter. We will be in the sort of mid- to low teens, depending on the guidance range we gave as we think about the rest of the year. We don’t have a promotional business. We don’t do a lot of discounting and things like that. So fairly consistent as we move throughout the first half of the year versus the second half of the year.
Operator: Your next question is coming from Kate McShane from Goldman Sachs.
Patrick Hollander: This is Patrick Hollander on for Kate. We just wanted to ask about what kind of product innovation is coming to the flooring category in 2022? And how the strategy will evolve around getting customers to trade up to better invest into 2022?
Lisa Laube: I think as we have for the last many years, is we continue to focus on innovation and durability, and we continue to focus on trend. And so as you look at that we’ve talked about the OptiMax program that’s pretty new for us still. It’s an echo resilient product that’s doing extremely well. It is in the best price point, in fact it’s the highest price point we have between laminate and vinyl and is doing extremely well. So we’ll continue to expand that. As far as trend goes, you’ve heard us talk before about large format and whether that be in tile or in wood, and that continues to expand. We’ve got some tests that you’ll see in a couple of weeks. And in Florida on large slabs, which is a brand-new category for us to get in that is very logistically challenged but customers are responding well to that already. So our merchants have done a great job even though they haven’t been able to travel internationally for the last couple of years to continue to work with our vendor partners to innovate. So I think you’ll continue to see more and more from us, like I said, mostly around the durability, technology side and then on the trend and fashion side.
Tom Taylor: And the second part of the question was how do we get customers to buy it? How are we going to sell it? And that goes -- that really ties into our design initiatives that we keep talking about. We know if we get the designers involved, and it’s easy to get customers to step up. When you think about the total price of the job getting them to step up to something that’s better and best isn’t that significant to jump when they’re spending that much on a hard surface flooring job. So the more designers can get there, the more they can help get that customer step up. And we -- also, the other thing I’d say is we get customers to step up even when we don’t take care of them the right way, just the way we present inspiration in our store, it’s very easy for our customer to walk and see the better and best products differently than you’d see it in a lot of people that we compete with.
Operator: Our next question is coming from Steven Zaccone from Citi.
Steven Zaccone: I had a question on the overall demand environment. So when you look at the business on a CAGR basis, you referenced the fourth quarter was actually the highest level of growth, and it sounds like that’s continuing in the first quarter to date. I guess as you look at your business, do you attribute the acceleration to an overall pick up in spending in the market? Or are you actually seeing some accelerating share gains when it comes to Pros and new store performance? And then just briefly, within the 2022 outlook, how do you expect the Pro side of the business to perform versus DIY?
Tom Taylor: I’ll take the first one, and then Trevor, you can take the second one. I think from my perspective, I do think that we’re taking share at a bit of an accelerated pace. I think that inventory levels within the independence is strained because of all the global supply chain issues that we’ve talked about. It’s just been challenging. We’ve made conscious decisions to spend significantly more on supply chain to make sure what our priority one is to be in stock. So we put a priority on that. We brought in Chinese New Year early. I mean, we’ve just done a lot to have the inventory in the stores. So I do feel like it’s coming more from a share gain perspective than anything else. And Trevor, do you want to hit the Pro question?
Trevor Lang: Yes. I mentioned this briefly earlier about the fact that we serve a higher-income customer. There’s record wealth that exists in household values as well as cash and stock market portfolios. And those people won’t help put their products in. And everything we’ve talked to our Pros I know some of our larger competitors said the same thing earlier this week that the Pros have got as much work as they want. And we’re doing a great job of taking care of our Pros. So our view is the Pro business will continue to be strong as we look into 2022.
Operator: Our final question today is coming from Justin Kleber from Baird.
Justin Kleber: Just a longer-term one on the leverage point in the model and whether you think it’s changed at all given some of the cost pressures like wages. I’m just trying to understand what level of comp going forward beyond 2022 when we’re not in this double-digit same-store sales environment. What’s the right leverage point we should think about from an OpEx perspective?
Trevor Lang: This is Trevor. As long as we’re doing 20% unit growth, and we are adding stores in more expensive markets, it’s going to be above your typical 3% to 4% because the advertising costs a lot more in those markets, the labor cost more, usually the rent costs more. And so our historical long-term algorithm to all the complexities over the last few years was kind of may do an upper single-digit comp, gave a little leverage out of SG&A and grow gross margin, but get you a 25% net income growth. I think that’s basically, if we ever get back to a sense of normalcy, I think that still plays into account. And we should have an elevated comp as long as we’re doing 20% unit growth because you have so many new stores, almost 50% of the chain is less than 5 years old. And so you have a lot of those new stores running up that maturation curve. So we will need, call it, mid- to slightly above mid-single-digit comp as long as we’re executing 20% unit growth to get leverage in the P&L. And again, that’s when things are a little bit more constant, which we’re obviously not in that environment today.
Operator: Go ahead.
Tom Taylor: So, I’ll make some closing comments now? Okay. Thank you. So look, first, I’d like to thank everyone for their interest in our company and participating in our call. We certainly appreciate that this -- I’d like to recognize and thank this is Lisa’s last call as a participant. She could listen in on the next few calls, but it’s her last call as a participant. I can’t emphasize how much she’s done for our company. We wouldn’t be the company we are without her share. Her contributions are too immense to list. Most of you have known her and walked with her and have seen what she’s done for our company, but we wish her well in her retirement. That is what it’s all about, so that we can make it so people can go off and live their dreams. So we’re certainly happy for her and happened that she’s built a tremendous bench of great people behind her, so we’ll continue to make Floor & Decor what it is today. So thanks for everyone’s interest in the call. And thank you, Lisa, for all you’ve done.
Operator: Thank you. It does conclude today’s teleconference. You may disconnect your line at this time, and have a wonderful day. We thank you for your participation today.